Operator: Good morning, everyone, and welcome to Sally Beauty Holdings conference call to discuss the company's third quarter fiscal 2025 results. [Operator Instructions] Now I'd like to turn the call over to Jeff Harkins, Vice President of Investor Relations and Treasurer for Sally Beauty Holdings.
Jeff Harkins: Thank you. Good morning, everyone, and thank you for joining us. With me on the call today are Denise Paulonis, President and Chief Executive Officer; and Marlo Cormier, Chief Financial Officer. Before we begin, I'd like to remind everyone that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent report, annual report on Form 10-K and other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligation to update them. The company has provided a detailed explanation and reconciliations of its adjusting items and non-GAAP financial measures in its earnings press release and on its website. Now I'd like to turn the call over to Denise to begin the formal remarks.
Denise A. Paulonis: Thank you, Jeff, and good morning, everyone. The resilient executional excellence and customer first mindset of our team was on display in the third quarter. In turn, we delivered 13% earnings per share growth amidst the complex macro backdrop. Comparable sales were approximately flat, near the high end of our guidance range and adjusted operating margin of 9.2% exceeded the high end of our expectations. In fact, our healthy gross margin profile and prudent cost control, coupled with benefits from our Fuel for Growth initiatives drove a fourth consecutive quarter of operating margin expansion. Additionally, our strong cash flow generation allowed us to strengthen the balance sheet through $21 million of debt repayments and also return value to shareholders via $13 million of share repurchases. In our Sally segment, our Color category delivered continued standout performance, growing 4%, with color customer count up supported by strength in our performance marketing results particularly our do-it-yourself value messaging, expansion of our personalization journeys and consultation growth from our Licensed Colorist OnDemand digital experience. Additionally, momentum continued in our digital marketplace expansion. Continuing the more cautious spending behavior we saw last quarter, our Sally customers were more choiceful in hair care and other ancillary categories with some trade down in price and a focus on value. We are digging even deeper into our customers' needs in these areas and are refining our tactics from personalization and performance marketing to promotions to better serve them. Looking at BSG, sales returned to positive territory as the external factors that impacted stylist appointment books and purchasing behavior in Q2 receded. Of note, BSG has now delivered sales growth in 6 of the last 7 quarters. Key drivers of Q3's top line strength include expanded distribution and robust product innovation across categories and brands. While navigating today's dynamic landscape, we're laser-focused on profitability and driving operating efficiencies through our Fuel for Growth program, which is currently in year 2. This work encompasses merchandising, sourcing, supply chain, best cost locations and nontrade spend where we have carried out deep dives and are extracting value. We remain on track to generate cumulative gross margin and SG&A benefits of approximately $70 million by the end of this fiscal year and expect to capture cumulative run rate savings of $120 million by the end of fiscal 2026. Marlo will provide a more granular look at the program in her remarks. Now I'll move to an update on some of the key initiatives under our strategic pillars of enhancing our customer centricity, growing our high-margin owned brands and amplifying innovation and increasing the efficiency of our operations. Starting with our marketplace strategy. We are pleased to see strong momentum across our portfolio of partners, which includes DoorDash, Instacart, Uber Eats, Amazon and Walmart. Our marketplace growth continues to be a key driver of e-commerce sales at Sally U.S. and Canada, which increased 21% over the prior year in fiscal Q3 and comprised 8% of total sales. Our presence on high visibility platforms is attracting new customers to the brand and enabling us to meet the more they shop, we're driving more profitable sales. We're pleased with how quickly this initiative is scaling and believe there is more growth to come. Turning now to our Licensed Colorist OnDemand initiative. We're continuing to see broad-based strength across the platform with consistent increases in key metrics, including traffic, consultations, average transaction value and purchasing frequency. In Q3, we had more than 90 Licensed Colorist, averaging over 4,700 consultations per week. Additionally, our LCOD customers had an average transaction value of $35, which is 25% higher than what we see for non-LCOD customers and LCOD customers are averaging 1 more trip on an annual basis compared to non-LCOD customers. Customer feedback has been overwhelmingly positive and retention rates are significantly higher than non-LCOD customers. When we initially launched this platform, they gained traction quickly and has proven to be a powerful tool for broadening our reach, attracting new customers to Sally and deepening our strategic moat and professional color for home use. Moving to innovation, which remains a cornerstone of our operating and growth strategies. In both segments of our business, we are proud to have built a reputation for bringing our customers a consistent pipeline of on-trend innovation, relevant brands and exclusive launches. In the Sally segment, we saw strong performance from many of our own brands in Q3, including Ion, Bondbar, Inspired by nature and Strawberry Leopard. In June, we doubled down on the nail category with a significantly expanded assortment focused on trend-driven innovation, including brands like Nailboo, KISS and Dashing Diva. We view nail as an important growth category for Sally, one that has become a leading discovery channel for new Sally customers and furthers our position as a leading destination for shoppers seeking trends, value and convenience. At BSG, recent launches continue to perform well across color and care. This includes the successful and much anticipated April launch of K18 as well as Goddess Maintenance, a brand rooted in biotech. Additionally, our stylist embraced newness and expanded distribution from Color Wow, Moroccanoil, Schwarzkopf and Wella. Innovation continued as we enter Q4 with the launch of the cruelty-free brand Unite in 800 CosmoProf stores, our full-service channel and e-commerce. Unite includes hair mask, styling and detangler products. I'm pleased to note that our core strategic pillars are continuing to drive sales and engagement. The combination of marketplaces, licensed colors on demand and innovation as well as personalization and enhanced performance marketing contributed approximately 290 basis points of comp sales growth in the third quarter and 250 points year-to-date. Now I'll turn to our longer-term initiatives. Starting with our Sally brand refresh, which is designed to pivot Sally Beauty from a beauty supply house to a modernized specialty beauty retailer. As of July 31, we have completed the refresh in a total of 20 locations, which includes 18 stores in Orlando, 1 in Ohio and 1 in Minnesota. We expect to complete another 15 stores across the U.S. during our fourth quarter, resulting in approximately 35 stores updated by the end of our fiscal year. In these refresh locations, we're prioritizing the customer journey and operational execution to deliver a superior in-store experience one that encourages discovery, inspires and engages. We're also testing expanded categories such as nails and cosmetics, along with adjacencies such as fragrance by creating additional space through SKU count rationalization. To date, we see customers spending more time in store and cross-shopping categories at an increased rate as evidenced by basket growth coming from nails, cosmetics and skin care. Additionally, we're seeing key indicators, including units per transaction, average unit retail and average transaction value, all trending above the rest of the fleet. In short, the new look, feel, navigation and merchandising strategies are driving the desired results. Importantly, in mid-July, we kicked off our Orlando marketing initiatives, which includes billboards, paid social, paid search, YouTube and CRM. This is a planned incremental marketing investment, spreading the word on our transformed Sally experience to drive traffic and new customer acquisition. For a look at how the store refreshes are taking shape, please visit our IR website where we posted a short video. Looking ahead to fiscal 2026, we expect to complete another 50 refreshes, all occurring in stores that were previously slated for update or relocations. Therefore, we don't anticipate a material deviation to our historical CapEx levels. We're moving forward at a measured pace to ensure we're positioned to generate meaningful returns and continue to have conviction in the opportunity to refresh up to 1,500 stores or approximately 2/3 of the Sally U.S. fleet. We believe the refresh has the potential to be an important contributor to driving consistent top line growth and look forward to advancing the strategy over the coming quarters. Shifting now to our Happy Beauty initiatives. We continue to see some nice trends in our Happy Beauty stores, especially in our mall stores where there's natural traffic. We are still testing and learning on this concept and are leaning into Happy Beauty as an indie brand headquarters with a focus on key trends such as Korean beauty and fragrance stories. Additionally, our marketing message is focused on highlighting on-trend brands, offering tests before you buy and utilizing influencer partnerships and social media to drive traffic and conversion. We're pleased to be entering the final stretch of our fiscal year on a strong note for raising our full year adjusted operating margin guidance to reflect the strength of Q3 and our confidence in the company's strong market positioning, durable operating model and long-term growth potential as we continue to advance our strategic pillars. We appreciate the support of our shareholders and remain committed to building long-term value for all of our stakeholders. Now I'll turn the call over to Marlo to discuss the financials.
Marlo M. Cormier: Thank you, Denise, and good morning, everyone. Our third quarter financial results are a testament to the actions we have undertaken through our Fuel for Growth program. While comparable sales came in roughly flat but improved from our second quarter. Our Fuel for Growth initiative drove strong gross margins and enabled us to hold SG&A expenses relatively flat to the prior year for both our third quarter and fiscal year-to-date. These positive benefits were instrumental in delivering bottom line performance above our guidance range, which drove continued strong cash flow generation. Turning to the numbers. Third quarter consolidated net sales of $933 million represented a decrease of 1%, while operating 35 fewer stores compared to the prior year. Consolidated comparable sales declined less than 0.5 points. While macro uncertainty continued to impact spending among our Sally Beauty customers, this was partially offset by strong growth in hair colors and digital marketplaces. We are pleased to see a strengthening top line trends and return to positive comparable sales at BSG driven by expanded distribution and new brand innovation. Global e-commerce sales increased 8% to $99 million and represented 11% of total net sales. We continue to deliver a strong gross margin profile in Q3 with adjusted gross margin expanding 100 basis points to 52%. The year-over-year improvement is primarily attributable to our Sally Beauty segment, which delivered higher product margins driven by our Fuel for Growth initiatives and also benefited from lower distribution and freight costs versus a year ago as well as reduced shrink expense. As we communicated last quarter, we expect to maintain our healthy gross margin profile amidst the changing tariff landscape especially given our limited exposure. We expect to largely offset potential cost of goods impact through cost sharing with vendors, modest price increases on select products and sourcing optimization. Looking at expenses. Q3 adjusted SG&A totaled $399 million. That's up just $2 million to last year, reflecting higher labor and IT costs partially offset by $6 million in Fuel for Growth benefits and lower depreciation. In total, we captured an incremental $12 million of pretax Fuel for Growth benefits to both gross margin and SG&A in Q3, enabling us to deliver $31 million in pretax benefits year-to-date. This leaves us on pace to capture $40 million to $45 million of savings in full year of fiscal 2025 after generating $28 million in savings in fiscal 2024. This keeps us on track to deliver cumulative savings of approximately $70 million since we initiated the program in fiscal 2024. To summarize the program details, the $70 million in cumulative savings over 2024 and 2025 is comprised of 2 buckets: gross margin and SG&A. Gross margin benefits totaled about $30 million coming from the optimization of our supply chain in the partnerships and promotional efficiencies. SG&A benefits totaled about $40 million coming from transportation efficiencies, outsourcing and reductions in non-trade spend. Of the $70 million in cumulative benefits over fiscal year 2024 and 2025, approximately $30 million will have been reinvested in the business to support our strategic initiatives, including marketplaces, Licensed Colorist OnDemand, our Sally brand refresh and Happy Beauty Company as well as advertising and IT capabilities. The remaining $40 million will have flowed to the bottom line as profit or to offset inflation. We anticipate delivering an additional $50 million in run rate savings in fiscal 2026, with about 2/3 coming from gross margin and 1/3 from SG&A. By the end of fiscal 2026, we expect that our cumulative run rate savings will be approximately $120 million. Returning to the P&L. We're pleased to report that bottom line results exceeding our expectations, driven by both gross margin expansion and cost reduction. Additionally, we delivered an increase in both adjusted operating income dollars and adjusted operating margin rate over the prior year. Adjusted operating margins were 9.2%, representing an increase of 30 basis points over the prior year. Adjusted diluted earnings per share was $0.51, a 13% increase over the prior year with debt reduction and share repurchases complementing the positive impact of our operating results. With these Q3 results, year-to-date, our adjusted operating profit is up 6%, with 60 basis points of margin expansion and 13% earnings per share growth. Moving to segment results. Sally Beauty net sales decreased 1.8% to $527 million on 32 fewer stores versus a year ago with comparable sales down 1.1%. Comparable transactions declined 1%, while average ticket was approximately flat. For the Global Sally segment, color increased 4%, while care declined 7% compared to the prior year. Sally e-commerce sales grew 15% to $43 million and represented 8% of segment net sales for the quarter. In addition, e-commerce sales for Sally U.S. and Canada grew by 21%, primarily driven by the strength of our digital marketplace strategy. Gross margin in our Sally segment increased 110 basis points to 60.9%. The year-over-year improvement primarily reflects Fuel for Growth benefits, lower distribution and freight costs and lower shrink expense. Segment operating margins came in at 15.8%, down 40 basis points to last year. Looking at the BSG segment, net sales were approximately flat at $407 million and comparable sales increased by 0.5 points. Comparable transactions were up 6%, while average ticket was down 5%. From a category perspective, color was up 3% and care was approximately flat. BSG e-commerce sales were $56 million, representing 14% of segment net sales for the quarter. Gross margin at BSG was 39.4%, flat compared to prior year, primarily reflecting lower distribution and freight costs, offset by product margins due to brand mix. Segment operating margin was strong, coming in at 12.5%, up 100 basis points to the prior year. Turning to the balance sheet and cash flow. We ended the quarter with strong financial condition with $113 million of cash and cash equivalents and no outstanding borrowings under our asset-based revolving line of credit. Inventory levels were approximately $1 billion, down 2% to last year, with units down 5%, equating to a half week of reduction in weeks of supply. As we continue to focus on driving efficiency across the business, on top of the great work our teams have already done, we believe there is additional opportunity for process improvement around inventory turns. This includes a deeper dive at the SKU level aimed at enhancing inventory productivity, which we believe will create incremental cash flow on top of our existing strong free cash flow profile. More to come on that as we enter fiscal 2026. The business continues to be a strong and steady cash flow generator, providing us with the ability to consistently return value to shareholders. Third quarter cash flow from operations totaled $69 million, while operating free cash flow totaled $49 million. We utilized excess cash to repay $21 million of term loan debt, bringing our net debt leverage ratio down to 1.7x. We also deployed $13 million of cash to repurchase 1.5 million shares of stock under our existing share repurchase program. Entering the final quarter of the year, we remain on track to generate $180 million to $200 million of free cash flow for the full year. Additionally, we expect to repurchase approximately $20 million of our stock and repay approximately $20 million of debt during our fourth quarter. Turning now to guidance. We are pleased with the consistent profit growth our business has generated over the last 4 quarters and believe there are additional opportunities ahead. As we continue to focus on our core strategic pillars of enhancing our customer centricity, growing our high-margin owned brands and amplifying innovation and increasing the efficiency of our operations. Based on our current business trends, we are adjusting our full year comparable sales outlook to the high end of our previous range and raising our full year adjusted operating margin guidance as follows: comparable sales are expected to be approximately flat compared to our prior range of flat to down 1%. Consolidated net sales are expected to be approximately 75 basis points lower than comparable sales. This reflects the expected unfavorable impact from foreign exchange rates on full year net sales and approximately 30 fewer stores in operation compared to the prior year. Adjusted operating margin is expected to be in the range of 8.6% to 8.7% compared to our prior expectation of 8% to 8.5%. This implies that our Q4 adjusted operating margin will be down modestly versus prior year, which reflects a planned step-up in marketing investment to support our Sally brand refresh in Orlando. We appreciate your time this morning. Now I'll ask the operator to open the call for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Oliver Chen with TD Cowen.
Oliver Chen: Denise, Marlo, I would love your thoughts on macros and how they may be impacting the Sally Beauty division differently from BSG. You had a really nice transaction momentum at BSG but it was a little softer at Sally. So I would love thoughts there. And then the store refreshes and renovation sound quite compelling. What's stopping you from going faster in that discipline as well?
Denise A. Paulonis: Oliver. We were really pleased with our results in the quarter. And as you mentioned, macro is certainly a factor, but we think it wasn't as big of a factor as it could have been as we were thinking about the business as we exited Q2. So the strength in Sally really came in the color side of the business, which was up 4% in the quarter. Where we saw a bit more softness in that business was in the care space consistent with Q2, where we have the macro weighing in, is this is an area where a customer can do a modest trade down, look a bit more for value than they might do in the distinctiveness of our pro color for home use side of the business. So that's where we saw a bit of the softness. We're very focused on the Sally side of the house in terms of understanding what the consumer is looking for in that space and navigating what we can do to improve that business, whether that be through our marketing messaging, our promotional activity, things that can compel our customer to shop back in that space. On the BSG front, we were very pleased to see the rebound to positive comps driven by color but with nice business in care as well. The transactions were up. We continue to see our stylist shopping closer to need. So while transactions were up, ticket was down a bit as they kept getting what they needed when they needed it. But we were pleased to hear from our stylist in the quarter but they're feeling overall optimistic about their businesses, where the only point of softness to them is the actual trend right now is to a bit more natural lower maintenance hair color, which perhaps stretches the time between services a bit more than something that might be a high maintenance color. But seeing the stylist rebound after the flu and weather impact in Q2 was great for us to see. So overall, pleased with the performance of both businesses in the quarter and looking forward to that momentum continuing. Your second question was on brand refresh. Why aren't we moving faster? What I would say is we are still in the early days right? We need with Orlando and 18 stores now working. We need more time to really understand the lift because all those stores went through some form of transformation. So the traffic patterns and overall transactions is a piece that is a bit disrupted. But we really like what we're seeing behind that with the initial tranche of the stores being UPT, AUR, ATV, all in the direction that we want, with a mix in the basket that includes more things like nail, fragrance, cosmetics, skin care, the things that we're really trying to test into as we mature the work that we're doing. So what we are pleased about is moving forward with a plan for another 50 stores in FY '26. great news is that would have already been built into our CapEx to be touching about that many stores, so that's not an incremental cost but will let us keep understanding the performance trends and being able to watch traffic and transactions. I feel great that by the end of fiscal '26, we'll have close to 100 stores out there that will be working in our new model and then be able to adjust from there. And the final piece that we're working on in this quarter, as I spoke about in my prepared remarks is we are really amping up the marketing efforts in Orlando to be sure that for a market that has been fully redone. The customer knows we're out there, both our existing customer and our new customer about the new Sally and what you can expect to experience and why you should come back in to visit us. So all in all, pleased with the progress, looking forward to doing more in '26, and we'll continue at a good, measured pace as we understand the return on the investment.
Oliver Chen: Just a follow-up on color. What do you think key catalysts are for color going forward? Do you expect that momentum to continue, and it's impressive that the marketplace has been kicking in as well. And then finally, on the Sally division, you had nice gross margins on Fuel for Growth as well as freight and other. How are you balancing that gross margin profile relative to trying to drive consistent positive traffic at Sally division?
Denise A. Paulonis: Sure. On the color front, at Sally, we're seeing strength in great coverage. We're also seeing strength in vivid. It's ticked up a bit over the last couple of months is a bit of a resurgence into that bright side of the world. But we're also seeing great support from our brand partners. So it's in the Vivid world and Manic Panic, [indiscernible] are all nice performers on that Sally side in addition to our own brands with Bondbar and Ion and Inspired by Nature, being big contributors. With marketplaces, we're also seeing nice growth on the Sally side is supporting color as well. Licensed Colorist OnDemand, combined with marketplaces are bringing new customers in and our color customer count is up. And so performance marketing working, combined with multiple channels for the customer to be able to shop, we feel good about. And on the BSG side, we think we just have a great portfolio of brands that are -- that our customers really responding well to in the world of color, and we expect that, that trend will continue. So we feel really strong and great about that as well. I'll let Marlo comment a bit on the Sally gross margin and how we're feeling about that side of the house.
Marlo M. Cormier: On the gross margin front in terms of Sally, very pleased with the performance there. I'm getting the planned and tracked benefits from our Fuel for Growth effort in terms of how we're redeploying that to drive that competitive traffic, it's really our marketing efforts, our CRM, our personalization and bringing innovation. So I feel very good about continuing to maintain that profile. As well as the traffic driving activities that we have that we're deploying going forward.
Operator: Our next question comes from the line of Susan Anderson with Canaccord Genuity.
Susan Kay Anderson: I was curious just on the Sally Beauty store that looks like there was an acceleration of store closures in the quarter. I guess, how should we think about the store plans going forward? And how are recently renovated stores performing as well versus the rest of the fleet?
Denise A. Paulonis: Yes. On the Sally store front, the Sally Beauty segment includes our businesses Mexico and Europe, in addition to our U.S. and Canada businesses. The slight uptick in store closures in the quarter was actually tied to our European business where we actually exited our store base in Spain. So there were 19 closures tied to that exit. We actually sold that business to a competitor. As we look to focus where we think we can drive the most growth in our European operations, so pretty immaterial to the total set of Sally financials, whether that be sales and operating profit, but an important strategic move as we look to strengthen Europe and drive growth. So that's what really drove the store closures there. No outside trends in the U.S. And when we think about how stores are performing overall as we are doing refreshes and relocations, they really are about targeting the customers where we want to be. So we've seen nice performance and as I mentioned earlier, for the stores that we're doing as part of the brand refresh program, we're still in the early days. So love what we're seeing in the in-store metrics and more to come as those things mature and we can read the sales longer term.
Susan Kay Anderson: Okay. Great. And then maybe if you could just talk about, I guess, the consumer behavior you've seen between, I guess, the 2 formats. Are you seeing any pullback or does it feel like consumers are maybe doing their hair a little bit more at home, which is helping Sally Beauty just given some fears, I guess, around higher prices and tariffs, I guess just curious if you've seen any pullback there.
Denise A. Paulonis: Yes. Overall, what I would say is compared to where we thought the economy could have gone in Q2, I think we did up in a better position than where that evolved. But when we think about consumers are on the Sally front in particular, we are seeing our consumers continue to be choiceful, not a further step down in consumer confidence and spending but continued frugality. And so with that, we have customer research that does show more customers thinking about how DIY can serve as in between and going to the salon or more curiosity in Google searches and things about how do you color your hair. So we know that on folks' minds. Right now, what we see that weighing is that's a nice positive to our business with a bit of an offset in where a customer can pull back, which is a bit more in the care and the ancillary businesses. But in terms of what we have as a business overall, right, we think there's a lot of our business model that performs well in this type of economy. So value offering lets us navigate macro better than a lot and what we bring around innovation, education, engagement really allows our DIY customers to succeed on the Sally side of the front. So that, combined with our strategic initiatives, we think we're well positioned for the quarters ahead.
Susan Kay Anderson: Okay. Great. And one last one, I guess, just on the online kind of education or how-to tool. Is there -- I guess, is there any way to quantify -- do consumers typically buy after using that? Is there any way to show, I guess, if that's driving sales or not?
Denise A. Paulonis: Yes, absolutely. So licensed color on demand is our online real-time platform to get education and support from a licensed stylist. To be able to go on to that platform, you register yourself as you're coming on. So we can track absolutely, whether you purchase immediately online or you later come to a store because we've identified you we can attract you through that process. We actually see a great purchase rate. What is fascinating to us is fewer customers will immediately the buy button to the list that they've gotten online but most of them print it out or bring it on their phone into a store and come and shop those products in store. So we've gotten a great redemption rate from doing that with 4,700 consultations on average every week on an annual basis, that adds up to quite a bit of sales. And when we look at those customers, they're actually coming in one time more often in a year than our non-LCOD customers and their transaction value is about 25% higher than a customer not engaged with LCOD. So absolutely, part of the sales driving improvements that we're seeing is our one of our strategic initiatives.
Operator: Our next question comes from the line of Olivia Tong with Raymond James.
Olivia Tong Cheang: I want to follow up a little bit on that and see if you could compare and contrast the performance in SBS versus BSG, clearly, a very nice rebound in BSG after a tough winter. How much of that do you think was the pent-up demand? Perhaps if you could talk about performance start of quarter versus end of quarter to start? And then I have a follow-up.
Denise A. Paulonis: Absolutely. We are pleased to see the performance rebound in BSG as we had anticipated the challenges in the second quarter were really transitory in nature with the flu and weather. Throughout the third quarter, the kit business was quite consistent. Once we got past those one-timers as we got past March business really evened out, as you saw a really nice performance on the color side of the house, continued growth there with the right assortment of brands. And here rebounding to about flat is what we anticipated that it would do. We still think that's a great response from our stylist and engagement behind new innovation like K 18 as well as expansions in areas like Color Wow. But what we also know is we still have a 2 downturn trending brands in our business portfolio on that side of the house. And so we'll continue to work through that but seeing care flat in the response to innovation, we were really pleased with. So overall, that stylist seems to be in a healthy space. As I mentioned earlier, just continuing to buy close to need out of the concern that something might change. So they watch the macro just like we do but their current books of business are nice. And it wouldn't have been necessarily from a rebound of services. As I said, Q3 was pretty consistent across the business.
Olivia Tong Cheang: Great. That's super helpful. And then a number of your competitors have started to expand into wellness and you've done great things with respect to some of the newer concepts in terms of the pilot stores and what have you. Is there potential for new categories within the Sally Beauty store. You've got a fantastic loyal customer realize, of course, that there are some near-term pressures. But just thinking bigger picture about the opportunity to expand into new categories in SBS while still keeping the core and obviously not potentially confusing the consumer as well?
Denise A. Paulonis: Absolutely. When we think about new categories, there's a nice role that we are trying to better understand in that regard when we're looking at our brand refresh stores. So in our brand refresh stores, of which by the end of the year, we'll have 35 and another 50 next year. And we are doing a very targeted SKU rationalization across our core categories to be able to free up space for newness around cosmetics, skin care, additional nail participation and fragrance would be the largest ones that are out there that we're working on. So definitely some trend-right categories that we think could be a great offering to our Sally customers. As I said, the unlock here is that with the brand refresh and new sorting process in the stores and the new fixtures, we believe we have the opportunity to bring those new categories to life and have our customers see them and participate in recognizing them. So will be understanding how that is progressing over the course of the next few quarters. And with the eye to the potential to be able to continue to expand that brand refresh, which would include category mix updates as well.
Operator: Our next question comes from the line of Simeon Gutman with Morgan Stanley.
Unidentified Analyst: This is Lauren on for Simeon. First one is on the care category. It continues to trend softer versus color. Just curious how you may be thinking about driving more engagement in this category despite the softer macro? Could for more like promotions, awareness, how you're thinking about raising that care category?
Denise A. Paulonis: Yes. Absolutely. We realized the 2 quarters in at Sally, we're seeing that care be softer than we would like to see and really related to consumer spending in a place where they'll pull back a little bit more on care and not pull back on color just given the opportunity for a broader product assortment or NUR change. When we've been working through the past quarter, we've been working hard to look at the tactics that we have, whether that be in personalization, performance marketing, promotions where customers are eying more single item promotion rather than quantity accounts to be sure that we can refine our offering and serve those customers the best way that we can in this macro environment. A couple of examples. We're seeing a lot more taglines on our Sally side of the business about skip the salon or why drop $100 every 2 weeks, creates salon quality nail looks at home. So across the whole portfolio, not just care but in nail and other categories, really leaning into what that DIY equation can be from a value perspective and how to continue to advance that. So more to come but performance marketing and promotion and promotion design, more than promotion depth are really the areas that we're focused on to work on a rebound.
Unidentified Analyst: Okay. Great. That's helpful. And our follow-up is just on the implied Q4 comp, which should be maybe flattish to slightly positive given your guide. Can you break this out between SBS and BSG? Maybe what are your expectations for both heading into the quarter? And any early rates for quarter-to-date?
Denise A. Paulonis: Yes. So I would say everything is built into our expectations because we have about 8 weeks left in our quarter and 8 weeks left in our fiscal year. So all that's included in the guidance. Underneath that, we expect a sequential improvement in the top line in both businesses, assuming a consistent macro environment to what we've been living in to date. So with that, at Sally, the momentum we have in hair color is fueled by innovation, performance marketing, all the things we've been discussing. We think that will continue. And we're also working, as I just mentioned, to deliver stronger performance in the other categories, specifically care, where we're adjusting some of the tactics to drive that improvement. And then at BSG, we think innovation will be the continued fuel behind the growth in that business with K 18 continuing the recent launch of Unite being another good example of how we're winning in that space. So overall, sequential improvement in both businesses as we finish out the year.
Operator: [Operator Instructions] Our next question comes from the line of Ashley Helgans with Jefferies.
Sydney A. Wagner: This is Sydney on for Ashley. So you discussed seeing some trade down and price and value sensitivity from the consumer, how are you kind of balancing that with some of these planned price increases and then can you just talk about traffic pacing throughout the quarter and then what you're seeing quarter-to-date, maybe any changes of trends from the exit rate last quarter into now?
Denise A. Paulonis: Yes. So overall, in terms of traffic and transactions, we're seeing a business directionally in line with what we saw in Q2 -- so we -- with Q3 as we're entering Q4. So we saw a nice rebound from Q2 as we recovered from some of the weather macro-related trends that were persisting there. And then I think when we think about the business overall in care and what we're working on. As I just mentioned, there's a lot of things that we're working to have that customer respond well to us in terms of performance marketing, promotion activity. But in terms of price increases, planning any material changes in prices in the near term. I'm wondering, Marlo, if you want to talk about just where we sit with tariffs, if that's a driver of the question.
Marlo M. Cormier: Yes. So as we're thinking about tariffs, we've talked about it last quarter as well. Our exposure is somewhat less than most or others we would say, we're limited to 20% of our COGS is coming out of either China or Western Europe, and that's split pretty evenly between both of those. So as we look forward, we'll look beyond this fiscal year. We talked about this year. It's not too impactful given our inventory position only 8 weeks ago, we really haven't seen a lot of vendors pass through cost increases to us. But as we look towards next year, we are carefully watching our vendors, and we would work to cost share with our vendors. We may have modest pricing actions, and then we also look for sourcing optimization. But we believe there is incremental opportunity from the work that we're doing on our SKU rationalization as well. So we feel confident that we can maintain both our healthy gross margins and that we'll be able to pass through any of those pricing adjustments we may need to make.
Operator: Thank you. And I'm currently showing no further questions at this time. I'd like to hand the call back over to Denise Paulonis for closing remarks.
Denise A. Paulonis: Thank you for joining us today. I appreciate all the interest in Sally Beauty. And as always, a big thank you to our associates around the world who work hard to serve our customers every day. And we look forward to providing an update at the end of our fiscal year in just few months.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.